Operator: Greetings, and welcome to the Dyadic International 2019 Year-End Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Ping Rawson. Please go ahead.
Ping Rawson: Thank you, Operator. Good evening, everyone, and welcome to our year-end 2019 conference call. A press release with Dyadic International's 2019 financial results was issued earlier today. The press release on Form 8-K and Dyadic's 10-K have been posted to the SEC and Dyadic website.  On today's call, our President and CEO, Mark Emalfarb, will provide a review of the business under the corporate accomplishments for 2019 and an update on the progress we are making in 2020. I will follow with a review of our financial results in more detail. We'll then provide you with an opportunity to ask questions. Matthew Jones and Dr. Ronen Tchelet will join Mark and I to answer your questions.  At this time, I would like to inform you that certain commentary made in this conference call may be considered forward-looking statements, which involve risks and uncertainties and other factors that could cause Dyadic's actual results, performance, scientific or otherwise, or achievements to be materially different from those expressed or implied by these forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements, except as required by law.  For more information about factors that may cause actual results to be materially different from forward-looking statements, please refer to the press release we issued today as well as risks described in our annual report on Form 10-K for the year-end December 31, 2019, particularly in the section titled Risk Factors. This information can be found on our other filings with the SEC when available.  With that, I will now turn the call over to Mark.
Mark Emalfarb: Thank you, Ping. Welcome, everyone, and thank you for joining us today. Before we begin tonight's conference call, I hope you and your families are safe and staying as best you can out of harm's way as the world continues to struggle with the coronavirus outbreak. We here at Dyadic are committed to help combat this terrible virus whenever we can by offering access to our C1 technology to industry and governmental agencies globally to try and help speed the development and commercialization of potential SARS-CoV-2 vaccines and antibodies to help combat the coronavirus. Later on in the call, I will get into more details about some of the things we have going on.  I am pleased to report that 2019 was another successful year for Dyadic, as we achieved several important scientific and business milestones and expanded our global presence. While still early in 2020, we are seeing continued momentum with our existing collaborations as well as potential new collaborations.  During 2019, we entered into 6 new proof-of-concept research collaborations to express different types of biologic vaccines and drugs for both human and animal health and entered into 2 research licenses. As a result, Dyadic's pipeline of opportunity is gaining more depth and diversity of projects that we anticipate will bring significant future value to the company.  Last week, we entered into a nonexclusive research license with WuXi Biologics, one of the world's most prestigious global contract development and manufacturing organizations, or CDMO as they are most commonly referred to, and entered into another fully funded feasibility study with another leading animal health company. We are now working with 3 of the top 4 animal health companies, which we believe give us a strong foothold in this market.  To assist in the global fight against the COVID-19 pandemic, we are working with The Israel Institute for Biological Research, IIBR; Ufovax, a spin-off vaccine company of Scripps Research; a group of coronavirus experts from Erasmus Medical Center; University of Utrecht; and the University of Veterinary Medicine Hannover, TiHo. We have already started to express a growing number of potential coronavirus vaccine and antibody candidates using our C1 gene expression platform for a number of different parties.  Supporting our growth strategy is our robust scientific data, solid financial position and ongoing collaborations funded by our partners. In 2019, our shares were uplisted to the NASDAQ Capital Markets, and we joined the Russell Microcap Index, further reinforcing the continued growth of our company. We look forward to sharing additional new developments as the year progresses, as we remain confident in our vision of creating more efficient and commercially cost-effective health care solutions.  We continue to make excellent progress in our internal and externally funded research programs, which continue to generate important and improved data that we expect will continue to drive our science and business development efforts. An example of this has been our involvement in the Zoonoses Anticipation and Preparedness Initiative, ZAPI, which brought together experts in human and animal health to create new platforms and technologies that will facilitate a fast, coordinated and practical response to new infectious diseases as soon as they emerge.  In the ZAPI project, C1 produced a ZAPI antigen against the Schmallenberg virus, SBV, at 17x the initial targeted expression level and more than 35x baculovirus, the next closest expression platform and 100x more than E. coli. I am pleased to report that in December, Dyadic received positive preliminary results for the ZAPI animal studies and expanded the funded research collaboration by ZAPI by 2 additional funded proteins. Recent results shared with us from the ZAPI consortium indicate that Dyadic C1 antigen demonstrated very strong performance in protecting both cattle and mice from the SBV. A publication reporting these results is expected to be available in Q2 2020. This data is helping us accelerate our entry into animal health in that industry. We are now carrying out fully funded proof-of-concept research collaborations, as I mentioned earlier, with 3 of the top 4 animal health companies.  Through our involvement in the ZAPI consortium, we developed relationships with 3 of the top 20 global coronavirus experts. In conjunction with these experts and a clinical contract research organization, CR2O, we have formed a consortium, which generated a proposal for advanced vaccine candidates against SARS-CoV-2. We believe that combining their SARS-CoV-2 vaccine candidates with the unprecedented yield and efficient flexible commercial-scale production of vaccine components, along with the safety and efficacy data seen in the ZAPI project, will result in a SARS-CoV-2 vaccine antigen that is not only effective at low dosages, but one that could be produced in sufficient dosages faster and at lower cost with potentially better potency.  The ZAPI data and the novel glycan structures human imparts on the expressed proteins, combined with a previous promising Sanofi Pasteur hemagglutinin, HA, in influenza data led to a second proposal with Ufovax, a spin-off vaccine company of Scripps Research. This SARS-CoV-2 vaccine was developed by Jiang Zhu, Ph.D., a Scripps Research Associate Professor in the Department of Integrative Structural and Computational Biology. Dr. Zhu has already delivered promising vaccine candidates to address global health challenges such as HIV, HCV, Ebola and RSV.  Over the past two years, Dr. Zhu co-led 2 NIH-supported projects focusing on coronavirus, SARS-CoV and MERS-CoV, vaccine development using the nanoparticle system. With the COVID-19 outbreak, Zhu and his team worked to create a 1c-SApNP vaccine against SARS-CoV-2 in less than 60 days. We're also working with Ufovax on 2 HIV vaccines. In response to COVID-19, the company submitted the above proposals to various funding agencies to develop SARS-CoV-two vaccine candidates up to and through a Phase I trial.  In February, we expanded our existing agreement with The Israel Institute for Biological Research, IIBR, which was entered into originally in January 2018. Like ZAPI, based on their experience with C1, the IIBR expanded its collaboration with Dyadic to explore the potential of Dyadic C1 expression platform to express gene sequences and targets developed by IIBR into both a recombinant vaccine candidate and monoclonal antibodies, mAbs, that may help combat the outbreak of the COVID-19 virus. We are hopeful that 1 or more of our existing or future partners who are working on combating the COVID-19 virus may run a Phase I clinical trial with SARS-CoV-2 vaccine or antibodies produced from C1, and we want to support them.  We are also in discussion with another potential collaborator who has indicated they may even take a SARS-CoV-2 vaccine expression from C1 into a Phase II clinical trial if their vaccine expressed on C1 is effective at low dosages and can be produced in sufficient dosages faster at a lower cost using C1. The industry appears to be somewhat more receptive now than ever before in exploring innovative expression platforms as alternatives to existing less efficient expression systems to deal with the current global pandemic situation. And C1 is definitely one of those on the list to be considered. Our thoughts and prayers are with those people and families who are suffering from this invisible enemy, and we're honored to join this global fight and, hopefully, our efforts will save lives and not be in vain.  I will now provide a brief update on our new as well as existing collaborations in our animal and human health business. In animal health, last week, as I mentioned earlier, we just signed another collaboration with a leading animal health company. This is important to Dyadic, as a number of these potential biologics may come to market sooner than our human health collaborations. Under the terms of these agreements, Dyadic and the animal health companies are engaged in a number of different feasibility studies regarding the production of various types of proteins in C1. Our growing footprint in animal health positions us well in large and growing addressable market, with a regulatory pathway that is much shorter compared to human trials for biologics and cost of goods is a much more critical issue.  WuXi Biologics. We entered into a nonexclusive research agreement with WuXi Biologics, one of the leading global CDMOs with significant presence in China, Europe and the U.S. WuXi Biologics provides development and manufacturing services to pharma and biotech companies globally. This nonexclusive research license is similar to the one we announced in January, which we entered into with an affiliate of a top 25 pharmaceutical company that supplies tools for life science research. WuXi will invest its own resources to evaluate the C1 technology for research for their customers globally.  Even though these nonexclusive research licenses don't necessarily bring in immediate revenue, we see them as stepping stones to potentially larger license deals, other types of collaborations in the future that we anticipate will bring in revenue and create shareholder value. Being able to establish relationships with cGMP manufacturers is important, as they would likely be the ones producing biologic vaccines and drugs produced for -- from C1 for the biotech and pharmaceutical companies.  We also recently announced that we are also working with and entered into a research collaboration with the University of Oslo consortium to perform a feasibility study evaluating the potential of C1 to express targeted influenza virus antigen proteins. Just like the coronavirus, the flu kills thousands of people every year in the United States and tens of thousands of people, if not more, globally.  Sanofi-Aventis. In our previously completed Sanofi feasibility study, we demonstrated that C1 could express all 7 of the therapeutic and vaccine proteins. We were able to express more than half of the proteins at or exceeding the production levels initially set by Sanofi. Together with the Sanofi scientists, we've been preparing the final presentation materials to share the data with our colleagues. We expect to have further discussions regarding possible next steps, which we would anticipate will occur sometime midyear. In 2019, we signed a research and commercialization collaboration with the Serum Institute of India, one of the largest global vaccine producers. Under this agreement, Serum has the right to apply our C1 technology to express up to 12 proteins, 8 mAbs and 4 vaccines provided by Serum. Serum has the option to obtain an exclusive commercial sublicense for each of the 12 proteins in exchange for research funding, milestone payments and royalties for 15 years from the date of first commercial sale. Currently, we are working on re-expressing the antibody genes provided by Serum that have already been expressed in earlier generations of C1 cells by using 1 or more of the recently generated glyco-engineered C1 cell lines in order for Serum to carry out further purification and analytical tests to see if 1 or more of these antibodies will have the quality attributes that will be necessary for Serum to move into clinical trials and commercial manufacturing.  Finally, we are making significant progress on our own internally funded C1 glyco-engineering program. In November, we announced that our C1 strain have been successfully glyco-engineered to impart the core human-like G0 glycan structure and G0 glycan levels of up to 95%, exceeding our internal objective of 90%. Our CRO, VTT, also presented data at the 15th European Conference on Fungal Genetics in late February that our C1 strain had now also been engineered or glyco-engineered to achieve a core-like human G2 glycan level of 76% on Host Cell Proteins. Currently, we have 4 novel C1 cell lines with different glycan patterns: Man3 to Man9, which is ideal for vaccines; Man3; G0; and G2, which are useful for the monoclonal antibody and other antibodies. We are continuing to work on generating two additional C1 cell lines, G0F and G2F, and hope to be able to report that progress as the year continues.  It's been a very successful year in the last few months. We have been extremely busy for Dyadic, as our pipeline of opportunities gets larger and more diverse to address the emerging markets, especially the COVID-19. So let me summarize some of the key takeaways. First, our vision of creating more efficient and commercially cost-effective health care solution for society globally through our C1 technology continues to resonate with the scientific community. Over the past 2 years, we've entered into more than 10 proof-of-concept research collaborations to produce different types of biologic vaccines and drugs for both human and animal health, two sublicense agreements and a handful of not-for-profit research licenses.  In regard to the novel coronavirus, the strength of our C1 platform and scientific data reported from prior efforts facilitated furthering our partnerships with existing collaborators such as the IIBR and our colleagues in the ZAPI project as well as expanding our portfolio of collaborations. Our approach is targeting the high-value markets, and we are opportunistic as to the opportunities that are available. The scientific data being generated from our efforts is robust and its visibility becoming more broad-based.  Our expanding presence in animal health is a good example of a large and growing addressable market with attractive regulatory pathways, but cost of goods sold is a critical issue. In pursuing these opportunities, we maintain an asset-light infrastructure by using third-party CROs, flexibility to scale our operations up and down as needed. And finally, we fund a large portion of R&D efforts through partner funding, limiting our cash investment, but leaving us significant upside potential as we attempt to commercialize our solutions.  With that, I will now turn the call over to Ping for the financial review.
Ping Rawson: Thank you, Mark. Before I discuss our operating results, I'd like to provide you with a few key financial takeaways from 2019. We continue to successfully pursue our growth strategy while maintaining a strong financial position throughout the fiscal year ending 2019 with approximately $36 million in cash and investment-grade securities and no debt.  Second, partner-funded R&D collaborations remains a very important component of our financial strategy, with research and development revenue increasing approximately 30% year-over-year. Finally, the company uplisted to the NASDAQ in April 2019 and, later in the year, joined the Russell Microcap Index, further increasing our visibility in the financial community.  Our operating results are as follows. Research and development revenue increased 30% to approximately $1,681,000 in fiscal 2019 compared to $1,295,000 for fiscal 2018. The cost of research and development revenue increased 42% to approximately $1,460,000 in 2019 compared to $1,027,000 in 2018. The year-over-year increases in revenue and cost of research and development revenue reflected a greater number of collaborations this past year, with 10 in 2019 compared to 6 in 2018.  Interest income increased 10.1% to approximately $985,000 in 2019 compared to $895,000 for 2018. The year-over-year increase reflected a higher yield on the company's investment-grade securities. Research and development expenses were $3,088,000 compared to $2,102,000 in 2018, primarily due to an increase in internal research project conducted at VTT, which is our CRO.  Related party research and development expenses were approximately $869,000 in 2019 compared to $1,216,000 in the prior year. The decrease was primarily due to the completion of our 2 years' BDI research service agreement in June of 2019. G&A expenses were $5,520,000 in 2019 compared to $4,523,000 in 2018, with the increase primarily reflecting greater noncash share-based compensation expenses of $717,000 related to 2019 stock option awards and options vested upon the April 2019 uplisting to the NASDAQ.  Business development and investor relations cost of $186,000 and insurance cost of $138,000. Legal costs and NASDAQ uplisting expenses of $125,000, offset by lower executive compensation expenses, as 2018 include a onetime expense of $168,000 related to the departure of the company's former CFO. Net loss for the year ended December 31, 2019, was approximately $8.3 million or $0.31 per share compared to a net loss of $5.7 million or $0.21 per share for the year ended December 31, 2018. The increased loss year-over-year reflected greater G&A expenses of approximately $1 million and R&D expenses of approximately $0.6 million in 2019. Also, the company's 2018 results included an income tax benefit of approximately $1 million.  At December 31, 2019, cash and cash equivalents were approximately $4.8 million compared to $2.4 million at December 31, 2018. The carrying value of the investment-grade securities, including accrued interest at December 31, 2019, was $31.2 million compared to $39.1 million at December 31, 2018. Net cash used in operating activities was approximately $5.8 million, which is net of $0.5 million tax refunds and $1 million interest receipt. With that, our cash burn for operations in 2019 was approximately $7.3 million compared to the original guidance of between $8 million to $10 million that we gave on our fourth quarter 2018 conference call.  We will remain disciplined but optimistic in allocating capital toward the many growth opportunities we are seeing for our proprietary C1 technology in 2019.  With that, we will open the call up to questions. Kevin?
Operator: [Operator Instructions]. Our first question is coming from Ahu Demir from NOBLE Capital.
Ahu Demir: Great progress, and I want to congratulate you. It was a great year for Dyadic. So my first question will be on the COVID-19. So can you give a little bit more information, Mark or Matt, whoever would like to take it, on the partnerships on the vaccine, how it is going? And my second question will be how the pandemic affects your manufacturing and your in-house efforts.
Mark Emalfarb: Yes. So I guess, I'll take that question. First of all, the first collaboration that we're working with was The Israel Institute of Biologic Research and they have their own internal funding. They have -- there are 50 scientists that are working on this project, as reported by the IIBR. And they're working on both the antibodies and vaccines, both. And they have their own cGMP through at least Phase I manufacturing. So that's operating its own. They're just providing us with gene sequences and we're creating constructs. And we're taking those, putting them into C1 and then producing the proteins for them to study, do the analytics, test in animal models and then, hopefully, put those into human beings sooner than later. That's the first one.  The second opportunity that we're involved with is, as I mentioned, in the ZAPI program, which we've been involved in for over 4 years. They've been working on SARS and MERS and coronavirus in ZAPI as well. And these researchers, 3 of the top 20 researchers in the world for coronavirus, were involved in the ZAPI project. And so based on the success that they saw with C1 in the antigen with the ZAPI antigen, where we produced 35x more than baculovirus and 17x more than they asked, 100x more than E. coli, they recognize that C1 can be used to make massive amounts of low-cost, potentially better vaccines. And so together, we put together a proposal, and we now are receiving those genes from them, cloning them into C1. They're going to do the animal studies.  And what ZAPI did is they have this built-in infrastructure to rapidly bring vaccines in a market quickly and in a more efficient way. And so these guys actually have a model where they know what genes to find, they have a construct they can fit them into, give them to us to clone into C1 in this particular case. They conduct the animal studies, and they're lined up with, I think it's Erasmus Medical Center to do the clinical trials. So they're in a great position, because they've been -- they're not newbies to this. They've been doing it for a long time, and they were looking and predispositioned for this to show up.  And it's not just this one, it's the next pandemics as well. So we're working with them now and helping them through this proposal in providing it with proteins, which we think can give better performance because of the unique glycan structure like we saw in the Sanofi influenza data, and we can do it at a fraction of the cost. And there's a model that we put together with ZAPI that showed, and I think it's on one of our slide decks on the investor deck, that we can produce 10 million doses of the antigen in the ZAPI project in a 200-liter fermenter versus a 7,000-liter fermenter that you need for baculovirus. And that's in 1 week. So if you want to make 1 billion units, you just take a 2,000-liter fermenter and run it a week or you could do something in between. So we can pump out a lot of product, very quick, very cheap and which we think will give better performance, and that's what we're doing with them.  Based on that data, we then approached a bunch of different people, and one of those was Ufovax, and they have a unique nanoparticle, virus-like particle. It's a different approach than the ZAPI group has. And so because we're a platform and we're agnostic to not only disease, but whose gene turns into a vaccine that makes it to commercialization, we're working with them as well. And we started with that in 2 HIV genes that we're now getting and constructing the constructs to clone in and waiting for the sequences from Ufovax in that program.  And then we're in discussions with governmental and private companies for a variety of other opportunities as well. So we have our hands full doing that, but it hasn't affected our normal business. Our normal business is ongoing. We're concentrated in animal health and human health. And those different projects are advancing, as is our science. And that gives us the flexibility, because we have VTT where you can scale up or down, and they have the resources and the people to allow us to do that without taking on the liability of having our own laboratory.
Ping Rawson: One thing I want to add on that -- Ahu, one thing I want to add on that and clarify is we are not directly inventing the construct of the vaccine, because I sometimes got that question. We are enabling other developers to make their own vaccine, and we are helping them with the expression by using C1. And that's the reason that we can work with multiple companies and, at the same time, who are -- have the expertise to develop the vaccine construct. And I think our advantage, as you know, that is more in the manufacturing and production side of how to use C1 to develop and manufacture a large quantity of vaccine or antibody in a short period of time with low cost.
Mark Emalfarb: Matt, do you want to add anything to that, Matt or Ronen?
Matthew Jones: Well, Matthew here. And again, just the very first comments from Mark, I wish everyone on the call, your families and friends are all safe and well. I would just add to that, that the whole point here is to get drugs of use into patients. And so C1, as we described, is a very strong powerful platform to do that. The announcements we've made just recently are with companies both on the research side, and as WuXi's statement today, obviously, with companies that have global huge GMP commercial presence too. So very exciting. And I think we are trying to display here a diversity of opportunity both in human and in animal health campaigns that obviously are about getting these vaccines, other drugs into commercial development. So without betraying the confidences, that's really the essence of what I think we want to say here. Plus, the partners we're working with are credible and very experienced in the drug development program and very familiar with the regulatory authorities. They have internal HIT resources and expertise, and we're very pleased to be tapping into that.
Mark Emalfarb: Ronen, do you have anything you want to add there too while you're online, since it's so late there in Hungary?
Ronen Tchelet: Yes, okay. Yes, I think that the last year and even before, we really showed the great advantage of C1, especially in rapidly developed production platform, especially for vaccine, but for any other proteins. And I think this advantage is being seen by other companies, and this is why now we get more and more attraction and companies would like to really use C1 as a good production platform for many applications, many types of proteins. And I think this is -- I think was our best achievement in 2019.
Mark Emalfarb: And I think what Ronen is saying, if you think about what we've been doing on our internal funding, it's been going to glyco-engineering the cells, reducing the protease background, rolling out a program at faster, better, quicker, higher levels for more diverse types. We've even thrown the kitchen sink from virtually all kinds of pharmaceutical and animal and human health companies before this. So we have experience with the antibody, with virus-like particles, all those things we've talked about, we've been able to express those at very high levels, at record levels in most cases.  And so when it came to the opportunity of the coronavirus, it's an extra opportunity. Our normal business is ongoing. It's continuing. We're not being impacted virtually at all. Of course, there's a few things here and there. But overall, like we just signed a new animal health in the middle of this. We have more discussions going right now. We have several proposals out in the hands of pharmaceutical and animal health companies and potentially also more coronavirus opportunities. Those proposals are out in their hands and are being evaluated to come in and use C1 to help solve their problems and bring them solutions.  So we've continued to evolve and improve this platform, and it's a platform. And we want to -- can't stress that enough, we're not a one horse/pony race. We probably have 8 out of the 10 horses in the race. And that's what we want to have. We want to have more and more partners to do more and more things at higher and higher levels. In this particular case, we have a unique advantage, because not only can C1 produce a lot of the vaccine, which is demonstrated both in the Sanofi influenza project but also in the ZAPI project, but it can do so using smaller fermenters, which means you can produce them in country. You don't need to produce them all at one site. If you want to pump out 10 million doses of an antigen in ZAPI, you can do in a 200-liter fermenter in a laboratory and something like a lab in the Scripps and not even a commercial enterprise on the scale. So the opportunities that we're offering, the only sort of thing to overcome is what Matt pointed, getting first Phase I trial into human beings and showing that because we have no endotoxins like E. coli to remove, it's safer. Because there's no viruses like [indiscernible], it's safer. We believe that the pedigree, the starting cell from C1 is safer than the other ones. It just hasn't been done. We've got GRAS status, safety data, all kinds of information that show that when you do it, it should be safe and effective. In the case of C1 for vaccines, the additional thing is the glyco-engineering that we've been working on. The native glycan structures for C1, it's theorized and being proven out by ZAPI, will be fully protected the cattle and the mice, and we got great data, and you'll see that when the paper comes out.  And then in the Sanofi, where you saw we used 10 units per gram instead of 30 units per gram, when we put less protein in a mice and get better results, we made it 30x cheaper. So that immunogenic property benefit, if that translates here, it's just going to be remarkable. That's what we're really doing.
Ahu Demir: My second question will be on the partnership. So with today's partnership, research collaboration, you brought your portfolio up to 10 partners, and I believe 7 of them are disclosed. So would you be able to give us some time line on those projects? When do we expect them to end? Or when do we expect to see data? Or when do we expect them to complete and move to -- progress to the next step?
Mark Emalfarb: Yes. Matt, do you want to take that one?
Matthew Jones: Sure. I think two answers to your question. The first is, trust us, whenever we are allowed to share data publicly, whenever we can, of course, share announcements, like we did just today with WuXi, with that collaboration and others previously, we do so. And so we look forward to announcing to the world where we can. There are, as Mark said earlier, our internally funded R&D projects are progressing really well, particularly the glyco-engineering updates Mark just shared. And that does 2 things for us. It means that we can speak to wider markets around different kinds of challenges and help and enable them overcome those challenges. So different strains, for example, and abilities for vaccines or mAbs.  And the second is to be able to work not just with big pharma. Obviously, we do a lot of that. But as Mark said, we also speak to foundations, to government bodies, to other research institutions and real strong thought leaders. And COVID-19 is one example of an area, obviously, which is in vogue, clearly, very importantly, but as well find a cheap effective solution to this. But we look forward to announcing more collaboration updates on data as we go through this year.  And I think we have every wind in our sail to do so. The diversity of projects based on the more quickly, perhaps the faster regulatory pathway for animal health, the fact we're working with 3 of the top 4 global companies there. These are companies who are only there to get these vaccines or mAbs or other drugs into toxicology studies and then through the appropriate regulatory pathway to market. That's all they do. And that's what we would like to discuss with them and announce updates as we go forward.
Mark Emalfarb: And just to clarify that, unlike we haven't been in humans with the drug produced from C1, we've now been in cattle and we had great results. We've been in animals. So we've already overcome that hurdle in the animal health, and that data is helping generate better, stronger deals, which is why 3 out of the top 4, and you can bet we're working on the next and a whole bunch of other ones on top of that. So to your point, Sanofi, we're going to get information. We've met with them several times. We're preparing presentations. They're going to present those. And sometime mid-year, we believe we'll find out where that's going. And the data is very compelling, in our opinion, and we'll see where that leads and what the next steps are.
Operator: Our next question today is coming from Alex Emalfarb [ph], a Private Investor.
Unidentified Analyst: So as we know, C1 has amazing data in the animal health space. So I guess, just a two part question. Are there any ongoing discussions with animal health companies regarding the license deals? And is Dyadic open to granting exclusive license deal to one of the animal health companies like you did with DuPont in the industrial space?
Mark Emalfarb: Yes. Matt, you want to take that?
Matthew Jones: Happy to. Good question. I think in terms of licensing, again, we're very careful about the very strong cash position, which Ping, our CFO, Mark and others in the team respect and help to protect. And so we don't need to rush into exclusive licensing discussions too early. So when is the right time? So we look at that regularly. We review that on a very regular basis. We talk to our partners and our collaboration partners about the opportunity of working with C1. And to encourage those conversations commercially, as you could guess, licensing and other sorts of deals are discussed. But in terms of exclusivity, no, we are very careful not to have given anything away yet that's exclusive in that sense. And that's a strong position for us, because it means that as we get more attention, as we go into more partnerships and collaborations, which we're announcing all the time, it means that we do so with those partners at the table with, if you like, an equal chance, an equal seat. And we look forward to being able to build off the back of those collaborations getting more data.  Ronen presented last year at an important industry conference. We have more this year to present with both our third-party labs and ourselves. And I think this all helps to enable a much stronger licensing conversation to happen in the future. And we, of course, look forward to those but doing so very considerably for our stakeholders and making sure that we get the best deal for each other and for them but, most importantly, that we go into deals that will see these medicines make a real difference and will impact to mankind. And that's really where we focus our R&D efforts.
Unidentified Analyst: All right. And then I just have one more question. Has the Board taken any action in connection with the short report published by White Diamond Research?
Mark Emalfarb: Well, the short answer -- or maybe long answer is we view the piece as completely not credible. I think from today's press release and conference call, it should be abundantly evident and evident to everyone that it was a piece of fiction. We're working with many of the top pharma companies, research institutes, governmental agencies to enable more efficient and commercially cost-effective health care solutions.  We sold our industrial business to DuPont for $75 million, firmly establishing the C1 platform. Following the sale, we began in earnest to develop our incredibly powerful gene expression platform exclusively for human and animal health, therapeutic products, entering an industry where we were virtually unknown. In the last two years, we've had incredible progress, working alongside the most respected scientists in the world to speed the development, lower cost and improve the performance of biologic vaccines and drugs globally.  So I guess, the answer is, we'll evaluate it, but we view it as a piece of fiction and kind of history. I'm not going to get in a battle with somebody that are actually uneducated as to the real facts.
Operator: Our next question is coming from Alan Stone from WallStreet Research.
Alan Stone: Congratulations on your results announced today and your tremendous achievements accomplished last year, also on the collaborations you have going forward. With all the wonderful things that you've been accomplishing, are you starting to get on the radar screens of some of the major biotech and pharmaceutical companies in terms of potentially being acquired down the road as you continue to grow? And where do you see that potentially downstream as you move forward?
Mark Emalfarb: Well, I think 6 months or 9 months ago, I mentioned, to be honest with you, we don't need their eyeballs or any more people. They're aware we're here. They've seen the data. Some of them have experienced it firsthand, just like the IIBR did with the enzyme we made to help them defend against sarin gas, for example, dioxin. That's why they jumped in on the coronavirus with us. That's why ZAPI has expanded. That's why the 3 experts of coronavirus has jumped in with us as well.  So yes, I think that big pharma, both in animal and human health, are completely aware we're on the map. WuXi today starts going into the CDMO part of the world. It's kind of a shot across the bow, but the other CDMOs, they realize that they better get in sooner than later so they have an equal seat at the table, as Matt pointed out, if and when those opportunities arise. So if you look at the pattern of what we did in industrial biotech, it was done on nonexclusive licenses, and then DuPont came in and bought out that division. In this particular case, you have animal health that could go separately, human health separately. Our metabolite company that we haven't even talked about, the pipeline there is another opportunity that we're exploring with our own internal funds.  So I'd say we're in a great position, as Matt points out and Ping. We have plenty of cash. We're not in any hurry to make bad decisions. We're kind of building, as I mentioned before, a skyscraper. Foundation's in the ground, the walls are going up, the roof is going to be put on, and the tenants are going to get filled. And then, of course, it gets more and more valuable the more and more tenants that are in the building, and they're paying rent. And that's the goal.  The goal here is to really use this technology platform to make dozens, if not hundreds, maybe even thousands, of proteins of all kinds of uses and applications in human and animal health; and today, try to help the world solve the problem that we have today with the coronavirus outbreak, be ready for the next pandemic; and lower the cost of prescription drugs, 3 shots on goal with 1 swing of the bat. So I'd say we're in a strong position to weather the storm.
Alan Stone: Congratulations. That's a great analogy. And keep up the great work.
Operator: Our next question today is coming from John Vandermosten from Zacks Investment Research.
John Vandermosten: I wanted to start out with a question on WuXi and how they might eventually, at some point, develop a protein or antibody with a partner, I mean, as I'm trying to understand that they will develop the platform and then another developer will come along, another sponsor will come along, potentially when you're already working with -- to develop something. Is that how it might work? Or is there another pathway forward there?
Mark Emalfarb: Well, let me start, and then I'm going to let Matt finish because he used to work for Lonza, which is a competitor of WuXi. So he's probably better equipped to answer the question. But if you think about it, even in the coronavirus, if we here are successful with our partners, one or more of them, somebody needs to make Phase I batches under CGMP and then Phase II batches and then Phase III and then commercialization. So WuXi could be one of the partners or one of the CDMOs to do that, right?  In addition to that, we've improved the technology to a point now that they can refine it and aim it towards specific goals and objectives they have and that their customers have because they have a much bigger outreach than we do to the pharmaceutical industry and to the C-level people that are already paying them millions, if not billions, of dollars to produce products for them. I think somebody mentioned they have a $3.5 billion backlog already. So this is one of the big boys. And they're very innovative. If you think about all the things they've done, they've really advanced the technologies very quickly, very rapidly, and they look to the future.  And so Matt, maybe you can pick up from there since you used to work at Lonza and I think you were in the BD role.
Matthew Jones: Yes, sure, Mark. I mean WuXi are well known to pharma outsourcing decision-makers. They're in the top 10 ED. And they also have moved not just from Shanghai but they have a presence now in Europe, both auto and vaccines as well as other opportunities. So they are accredited. They have a strong regulatory background. As Mark said, they're in the top 10.  I think the important thing to think about with WuXi for us is -- and for any stakeholders of Dyadic are that for C1 to be truly successful, it has to do 2 things: It has to attract the attention, dollars and investment both in resource and time from pharma, biotech, government, foundations, et cetera, someone like that. And it also has to attract the attention of a manufacturing agent that can commercialize an opportunity. And so we're very mindful that there is a sort of stepping stone approach. We're delighted that WuXi are first. There could well be others that I'm sure will be watching this news release and thinking of meetings we've had recently and wanted to talk some more. But WuXi, to Mark's point, has been very innovative in some of the conversations we've had, and we are delighted to partner with them here.  Once WuXi gets more experienced with C1, once they start talking to their network around the power they see with C1 and as we help to facilitate that, we see that as a win-win. And I think we don't stop there. I think we start here.  So I think from Mark's -- to Mark's point, we would add much more than just say that we're delighted to announce that just after a few years of transitioning the business from an industrial enzyme setting, which is a very different setting than the GMP regulated for pharmaceutical-grade, anyway, materials. So it's a great accomplishment, and I think it's just the start now of these sorts of opportunities for C1.
Ping Rawson: Mark, can I add something here?
Mark Emalfarb: Yes, sure. Go ahead, Ping.
Ping Rawson: Yes. Just to add on, I know Matthew and Mark has been following with WuXi for several years, a couple of years, at least since the transition from DuPont. So now is a good time. We finally get the licensing with them. Another thing is they are actually building a new facility for the microbial facility, which means they are looking at alternative expression platform similar to C1 or in this line, which they see the value of it, especially from our other results and the scientific data in glycoengineering.  So they are not just presentation in China. They have another facility in U.K. or Ireland and also some presentation in the U.S. as well. So it's really a global company. And if you look at their forum or their webcast they hosted recently related to COVID-19, all the people they get in touch are all in the top leadership position from the industry. So definitely from BD perspective and from also the science perspective, they can help us in many different ways.
Mark Emalfarb: And to bring that to light and to bring it back home, think about ZAPI. I mean, once people use the technology and they play with it and they feel it, it's kind of like getting in a Tesla and you put your foot on the gas and all of a sudden, you feel that power. When you get back in, you're not going to go back to a Volkswagen Beetle. You're going to want to drive that Tesla. And so that's what ZAPI and these guys are doing because they felt it and they experienced it with the antigen that we made 35x more than the second-place cell line.  But more importantly, there was an article that just came out recently -- I don't remember the exact title, but we can put it up on our website for you guys -- where the senior leader for the ZAPI, John-Christophe, he talks about, in the article, of new platforms like C1, highlighted C1 in particular, are coming, and the regulatory agencies are going to have to deal with this because we have to be able to do better. And pharma does the same thing over and over again, expect different results, and they're not getting it. And so we think we can really disrupt things, and that's moving along. And I think the coronavirus opened up people's eyes to what else is out there that can actually help us prevent these things in advance and solve the future ones and, at the same time, bring the cost of prescription drugs down.  As I mentioned earlier, so you kill three birds with one stone for the same dollar. And that's what we're doing. And the more and more deals we get, the more and more partnerships we get, the more and more money we spend, not just our own but their money. We've learned a lot in these third-party research agreements. I mean Ronen can tell you. I mean we've benefited tremendously on the dollars coming in from our partners to advance the science. Am I right, Ronen?
Ronen Tchelet: Yes, absolutely. I think that you're right because we are having so many collaborations now, and all those work is really helping us to improve our science and improve our technology, and more importantly is to improve C1 as a better and better production host. But I also would like to comment maybe on ZAPI because this is one of our breakthrough because the ZAPI goal was actually to be able to rapidly response to any endemic pandemic, something that, unfortunately, we have experienced now. And one of the goals was to not just to be able to by computational analysis to immediately program the right either epitope for the antigen or a neutralizing agent. But then, their goal was also to produce it in a rapidly and high productivity in low-cost production facilities.  And actually, in terms of the antigen, until we could show them that C1 can produce the antigen that we were supposed to produce, it was very difficult to find some production host like that. And actually, C1 came as a glove to the hand of this project to show that we can really do that. And C1 is obviously one of the best production host for such applications.  And this has, I think, opened us, first of all, to the animal health field, but more importantly also, we believe that it could also open the doors for the human health vaccines. So I think that was the -- actually, what we can gain from our collaborations with other parties, and in this case, was with a big European consortium.
Mark Emalfarb: Well, I think that, really, it's a platform technology that, as I mentioned earlier, they have the wherewithal within that group to take it from discovering a gene, which is their job -- they find the genes of interest. They've been doing SARS and MERS and coronavirus for years and other kind of zoonic diseases. They can pop it into C1. We can clone it, we can express it, give it back to them, the protein or the vaccine or the antibody. They can -- they have the animal models already in place. They have the infrastructure to move it into clinical trials, so they can do it rapidly.  If the world doesn't take advantage of what those Europeans have spent the last 4 years doing -- and we saw that, and we're taking advantage of that with that group, those 3 people, those 3 -- top 3 coronavirus experts in their institutes, and then also the clinical trial company, CR2O company. So we put together a very, very strong argument that these are the people that knew what they needed. They're not going out and finding things. They already had what they needed, and it's in place. So it's been proven. And now it's just a matter of even when the next pandemic may or may not come -- and hopefully, we never have to deal with it again, but more likely than not, at some point, it will -- they have the system in place, and they're fine-tuning it because you just pop in the new gene, and everything else goes along the way because it's in place.  So we're excited about being part of that for the last 4 years. And if you think about the Israelis, you go back to 2018 in January, our press release, went to work on the same thing, a pandemic approach, epidemic approach, biological threats, to be ready for this. So we didn't just wake up and decide we're going to get into this emerging disease area. We've been involved with 2 of the parties, and C1 is just really the workhorse, as Ping points out, to turn those gene discoveries into products. It can be made at larger scales in smaller environments, potentially with better properties at very, very low cost. So through all that science, we learned a lot paid for by not only ourselves but mostly by others.
John Vandermosten: Okay. Also a question on the cell lines. You have about 4 different cell lines now with different glycosylation patterns, and there's 2 more in the works, the G0F and the G2F. What are some of the settings, I guess, where those would be appropriate? You've got the animal health platform. Are some of those more appropriate for animal health or just different settings where they might be used?
Mark Emalfarb: Yes, I'll start, and we'll let Ronen chime in. But the Man3 to Man9, as I mentioned earlier, seems to stimulate immunogenic response to create what we think from theory, at least, from what we've seen in Sanofi and ZAPI. It creates more immunogenicity, which then creates more antibody production and makes a more potent vaccine. So that's perfect for animal health and human health vaccines but not really good for monoclonal antibodies. So that's with the G0, the G0F, the G2, the G2F. Some of those, you need blocking antibodies. Others need CDC activity. Others need ADC activity. And so it's kind of like a Chinese menu, what do you want for what protein. We can kind of match it and give you a better result than a mix of everything, which is what you come with CHO. And maybe, Ronen, you can chime in a little bit if you want on that, or Matt?
Ronen Tchelet: No, I'd say -- actually, you summarized it well. But I just want to say that really give us the opportunity to tailor the type of cell lines regarding to the glyco structure to target proteins. So I think that also give us some kind of benefit of other production hosts in the future.
John Vandermosten: Okay. Last question is just on the new animal health collaboration. What exactly will that be working on? You've outlined some of the targets and some of the other collaborations, but I didn't see what they are for this one.
Mark Emalfarb: Yes, I don't think we've made it public because they -- I don't think we can, but it's two different proteins. 
Operator: Our next question is coming from David Schneider [ph], a Private Investor.
Unidentified Analyst: I was wondering, we don't need to mention the countries, but some companies and countries, some of them are not well-known to protect intellectual property. So what steps have you taken to make sure that yours is protected and that you're paid?
Mark Emalfarb: Right. I'll let Matt talk about sort of that first, and I can chime in. But we have taken steps...
Matthew Jones: Yes, we had been...
Mark Emalfarb: Well, wait, Matt, before you get into that. We had a discussion with our Board members, in particular, Arindam Bose and Barry Buckland, who know the Chief Scientific Officer actually used to work in Merck with Barry Buckland. And we went through an in-depth interview and understanding of what infrastructure they have in place to protect IP and technology.  There's always a risk, but you remember, these people are working with the top 25 pharma companies with their genes and their cell lines every day of the week.  But go ahead, Matt.
Matthew Jones: No, I would just reiterate that. I think we further process internally, which was to call upon our Board but also our network who every day are outsourcing work for big pharma into parts of the world. That may be part of your question. So I think we had that to go off of. We also have our own experience, and we have a relationship with these companies. We understand how they fulfill and qualify the criteria that big pharma have with placing bodies of work.  I think what's important to mention is that the -- we are very mindful about IP and FTO. We're also extremely careful about the partnerships that we enter into, including how our NDAs are structured and the MTAs as relevant. So we don't take this responsibility lightly. Without going into details on this call, I'll simply just say that it's not something that we just skip past. We spend a lot of time making sure we protect the business.
Unidentified Analyst: Yes, just an easy follow-up question. The Novavax company, if they can't get moving, then what kind of steps could you take? And how long do you have to wait?
Mark Emalfarb: Well, we don't have to wait at all. But if you remember, we're not investing any money in that. We haven't transferred the technology to them. So until they get the proper funding, we're not going to do that. So we're focused on bigger fish and other opportunities, and we're letting them sort that out on their own. We're not taking the time and attention to help. We've tried in a few ways to help them earlier, but we don't have the bandwidth to deal with that problem. That's an issue that they need to solve, but we're not going to put C1 there until that issue is solved.  And they're good business people, and they've actually -- they are a CDMO, by the way, a small one for vaccines. They've been working on animal vaccines years. It's a good company. What their issues are, to be honest with you, I'm not even sure because we've been so tied up with so many other things. And we're letting them solve that on their own.
Unidentified Analyst: I hope that's a good sign, that you're busy and don't have much time to sleep.
Operator: Our next question is coming from Dick Williams from Williams Resource Group [ph].
Unidentified Analyst: I just have a very simple type of question of color more than specifics. However, I just wanted to make some comments before I get into that. First thing, it's easy to say, while you guys did a great job, but you've done more than a great job. '19 was a superb year, but what you've done this year is beyond belief, all of you. Ronen, you've been spectacular on the scientific side; Matt, you on the business; and of course, Mark as the leader, someone who is a workaholic and puts nothing but hours into this company, for its shareholders, supported by Ping. So I think you guys have altogether done a spectacular job last year and even more this year.  So I wanted to go just through a few things. I know it's difficult when you're running a business like this and you're dealing with bigger companies and you can't talk to who they are. And of course, in the street, whereas these prospective shareholders or shareholders who are -- everyone wants to know. Who is it? Who are they? What's their volume? What's their revenue and everything? So it is difficult. I think you've managed it well, and I think you're at an inflection point here now with C1 having achieved recognition. And that recognition, I believe, is going to spread like wildfire, especially with the COVID-19 occurring and now people looking at pandemics, epidemics, flu and other things. So I think we're in the right place at the right time with a company that's experienced in the space with a significant asset that's proven in C1.  Our risk as shareholders are twofold. One, is management going to deliver? Well, you've proven that already. So that's not a risk. Two, can C1 deliver on the promise of what we think it can and what people are looking for it to do? And I think the risk on that is almost as nil because it's already been proven, and you have presented data to all of us as to the performance of C1. So that will be evident as they start to use it.  Also, in terms of -- there were some other questions about the size and what these companies are doing, the risk factors, et cetera, and so forth. One of the things, I think, that you've accomplished in the first 6 months, I believe it's the first 6 months here, is that you made a deal with a life science tool company or tools for life science, which was a top 25 pharma earlier in the year. And that's a prospective licensee who was looking at C1, trying -- I don't know exactly what they're doing. And one of my questions was if you could ask -- answer some more about that, asking that question to you, give us some more color on it.  But you've also just achieved a significant event that I'm not sure everybody realizes, the opportunity here with the CDMO. And the reason is that, firstly, the company themselves, going into this year, has a $5.1 billion backlog of business. And of that, $3.4 billion was just in milestone payments. And they also do, as part of that, $50 million to $100 million in manufacturing. So this is almost the one-stop shopping. Almost, I would really think of it as a contract manufacturer. They develop everything from A to Z for a company. And they have a significant list of excellent and large companies who might want to farm out a portion of what they're doing because they're better suited to do it quicker, and it probably wouldn't cost them any more.  So now that we have them as a partner, looking at C1, what's our risk? Our risk is that C1 doesn't deliver for them. We know better. We know better than that. However, they have an ax to grind with C1. This is a rapidly growing company worldwide today. C1 is going to be a silver bullet, hopefully, for them to get more business and grow faster, and that at that point in time when they have arrived at that point in time, you will make a licensing deal with time lines, money and royalties. And in fact, they're almost in that business because their composition of revenue is broken up like that. They get 3% to 5% royalties on business. And then I don't know what the deals are in each of the other pieces. But that will give you an idea.  So these two factors you have here right now, forgetting the COVID-19, are significant accomplishments for you, I believe. And if you can give any color on either one, I'd appreciate it.
Mark Emalfarb: Matt, do you want to take that?
Matthew Jones: Well, it's a very nice question. And I think what I'll say to that is you sort of slightly summarized it well for us. We recognize the opportunity in front of us. We also are frustrated we can't tell the world about other things that we're doing, but that's part of the game. In the end, that's actually to our benefit, probably, because we can actually make sure that we get deeper into those relationships without the world asking lots of questions. So that's okay.  But yes, I think the WuXi announcement and others that we've had so far are testament to the R&D strength the company has, led by Roland; the way in which we manage our books very carefully, led by Ping. And I think Mark doesn't need any explain -- don't know if he was asked, but you know. But I think he does work very hard. I think he's the driver behind all of this. So the right people are here.  I think, though, we have a lot more to do. We have actually a lot more to do. We're just starting to, I think, announce names like WuXi and we, of course, would like to announce a lot more. So as this year plays out, we're going to be focused on delivering excellent data back to those partnerships. That's what we have to do first, while we're also putting down more collaborations and partnerships, which we are doing all the time. And of course, we hope to announce more of those where we can. But I'm not really answering your question, but I just want to say a thank you to the way you asked the question and perhaps just pass back to you, Mark.
Mark Emalfarb: No. I think the bottom line is that we have a very powerful engine, and we can tune it up and if we tune it up with people like WuXi or the other companies we're dealing with to meet their needs and their demands, the world's your oyster. Put a piece sand in it, and you get a pearl. How many pearls do you want? What color do you want? What type do you want? We're at the mercy of what the sequence that they give us. Is that sequence going to be a multibillion-dollar blockbuster drug like a KEYTRUDA or another PD-1? Well, you can bet they're going to come at some point.  So really, to us, it's time and money, and we have to manage the money and speed the time up, and that's what we're doing. And the science is going to get better and better and better all the time and, hopefully, with everyone else's money. Okay. So that's the goal.
Operator: Our next question is coming from Robert Smith from Center for Performance Investing.
Robert Smith: So could you give me an idea, Mark, about the position of the Israel Institute in that country alongside other efforts that are going on? I think several days ago, I saw that another group had already kind of validated a vaccine candidate. And I'm not particularly clear as to the relationship with the defense ministry there or authority. Is there anything like a BARDA here? Or maybe you can give me an idea of what's going on in relationship to other efforts like the Weizmann Institute or Technion or groups that are working in Israel as well? I mean, where is the position of the Israel Institute, in your opinion?
Mark Emalfarb: Well, let me let answer -- Ronen has it because he's Israeli, living in Budapest, and he grew up in Israel, and the attended those universities. So Ronen, you want to take that question?
Ronen Tchelet: Yes. I think the Israel Institute of Biologic Research is a very important institute in Israel. They do good science. And one of the great mission is to really protect the Israelis from all kind of threats, biological threats and beyond. And therefore, they have great scientists there, and they have relation -- very good relation with all the Israeli university and also with Weizmann Institute. And so I think they're really sitting in a very good position in terms of being -- having access to any Israeli resources they need, and they're being really heavily supported by the Israeli government.  I don't know more than that, but I think it's -- I don't know. If you ask us to compare their position to BARDA, I really don't -- I never thought about to do the comparison, but I think there are some similarities. But obviously, I think the most important thing with this institute is very well supported by the Israeli government. And they give them all the access to any research and resources that they need. I hope that answered your question.
Mark Emalfarb: Well, I think that one difference is the Israel Institute of Biologic Research is actually carrying out the research, not just funding money. They're scientists, they are doing the work. And I don't know if BARDA does that for the BARDA I know doesn't do that. And I know a lot of people at BARDA, and I've known them for several years, and I've been in discussions with BARDA on a constant basis about exactly this point, that we think C1 is a much better platform than the baculovirus platform that they're using with the flu and with the Sanofi and their -- BARDA's for the defense, coronavirus.  I think it's a much better platform than the PERSEUS 6 cell line that the J&J guys are going to be using. But big pharma has a lot of clout. But people have checkbooks, we got the technology. People just have to recognize that we want to put this in the hands of people to win. We need to save lives, and we need to do it sooner than later, and we're going to need to do it affordably. And those other technologies really aren't going to be making things affordably, and we're going to end up with the same problem we have now with diagnostics and masks, and nobody is going to have access. It's just almost insane if you think about it. We haven't learned from this whole episode. But they're starting to open their eyes up. And to be honest with you, the people at BARDA, FDA, NIH, HHS, they're all very good. They're all smart. They are looking at, believe me, what's out there, including C1, and hopefully, they'll make the right decisions. And I think they will. They get what we have, and it's just a matter of finding the home and the right place for it.
Robert Smith: Okay. And just a second question. What do you expect your burn rate to be in 2020?
Mark Emalfarb: Well, that's a good question. And basically, I know we gave guidance last year on our expected cash burn in the past. However, given the unprecedented times we're all experiencing, we anticipate being able to address that question later in the year. But we have plenty of cash for many, many years. So it's really not even relevant. It's what opportunities are there in front of us. And in every 2 months from now, we don't know what's going to be there. I mean the coronavirus was an opportunity that just crept up on us, and we're exploiting it. But we have plenty of money for many, many years if nothing happens, let alone if good things happen. But we'll give guidance later in the year when we get a better feel. You've got to also remember, we don't know what interest rates we're going to get on our bonds. It's changing daily so we're recalculating what our expectations were.
Operator: Our next question today is coming from Lee Alper from Hammock Investors [ph].
Unidentified Analyst: A couple of questions. One, on the glycoengineering, you've announced on your products, you've announced a certain percentage that you've made. How much of a percentage do you have to get to, to be able to prove what you want to prove? Or are you there now? And then I'll do a follow-up.
Mark Emalfarb: I'll let Ronen answer that so it's more accurate. Ronen, you still awake?
Ronen Tchelet: Sorry, I was on mute. I'm sorry. Yes, I think in terms of the percentage, we are actually reaching the target and in terms of at least what we have developed so far, as we say, G0 and the G1, G2. However, what we are really working on now to make this the basic strain, like plug-and-plays, so every protein that we would like to express, we can produce it in a plug-and-plays way to get the right glyco structure with the right productivity. And this is the opportunity we are working now.
Unidentified Analyst: Okay. And the one thing that I see missing is that there's no insider buying. Are you in a constant quiet period because you're in so many negotiations? Or there's just no buying going on?
Mark Emalfarb: Well, first of all, we bought $22 million of our own stock back before, number one...
Unidentified Analyst: No, I understand. But I'm talking about the officers.
Mark Emalfarb: Well, number one, you can bet we've been in a quiet period for a long time. And I think because of -- because I think we're in a quiet period until sometime in May. Even if nothing was happening because as we're so close on March 30, we're a late reporter as a small company. And Ping, you can correct me if I'm not mistaken, but...
Ping Rawson: I think you're right. Yes, I think our blackout won't lift up until after the first quarter's earnings call, which likely in May, mid-May.
Mark Emalfarb: And for example, the other day, I mean, we were getting called out, "Why don't you buy shares? Why don't you buy shares? It's so cheap." And we would love to be able to potentially buy shares, but we couldn't. And in my case, I already own, between me and the kids' trust, almost 8 million to 10 million shares. So I'd say I'm drinking a lot of Kool-Aid.
Unidentified Analyst: There's no question you are, Mark. I was just wondering about the other Board members or officers.
Mark Emalfarb: I think other Board -- first of all, you got to remember, some of the officers like -- they have children, they have weddings, they have to live. Ronen actually sold some of his shares last year, not because he didn't believe what we're doing but because he's a scientist and he has to diversify. And so I don't think that's the case at all. I wouldn't judge by whether somebody buys or sells puts a 10b2 plan in place. I think you just pay attention to the business. It isn't that people know things that you don't know. Of course, we do. We're certainly in blackout periods. We, of course, knew we're going to sign a deal with WuXi before you knew. We knew we're going to do a top 3 animal health company before you knew. We knew we're working on a bunch of coronavirus opportunities and still are as well as other opportunities.  So we're almost always in a blackout period because of the size we are. But there are people that I know that some of the Board members have asked at certain times because they buy shares. So I wouldn't take it as a signal. I know Wall Street thinks that's a signal, but I don't believe it's good or bad. It's just people have different needs at different times and then different diversification.
Unidentified Analyst: Okay. One final question. On ZAPI, at what point will someone -- or do you anticipate someone has to act either to accept what you have and enter into a deal as opposed to just doing another further evaluation? Or will they -- or do they walk away?
Mark Emalfarb: Yes. Well, ZAPI is not a company, ZAPI is a consortium. Inside of ZAPI, there are a couple of companies and a lot of universities. And you can look -- go online and type Dyadic and ZAPI, and you'll see who is in it. Publicly, it shows Boehringer Ingelheim and AstraZeneca. So you can probably bet that one or more of those companies has been looking at C1 and maybe doing additional research on their own outside of ZAPI. Though we expect some company and maybe one or more of them to step up at some point, not only fund research because they may be doing that but potentially to take a license in an upfront access with cash or maybe even more.  So it's very hard to tell. But ZAPI itself is a government funding agency sponsored by the government. And by giving us two more proteins, it's -- they have two more proteins that they want to see the diversity, and then the people in the institute that are involved can see what's going on. But ZAPI can't buy anything. They can just fund research.
Operator: We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Mark Emalfarb: Okay. So I would want to thank everybody for joining us on tonight's call. We appreciate everybody's support. We've really been working hard here, night and day, burning the midnight oil, and we wish everybody a safe and "stay out of harm's way" approach. And I would stay away from other people, 6 feet away, and social distancing is a good idea. And we're doing that here at Dyadic as well.  So thank you all for the wonderful kudos tonight. But more importantly, let's all work together at solving the problems that we're facing today as a nation and the world. Good night.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.